Operator: Hello. Good afternoon, everyone, and welcome to First Solar's Third Quarter 2023 Earnings Call. This call is being webcast live on the Investors section of First Solar's website at investor.firstsolar.com. At this time, all participants are in a listen-only mode. As a reminder, today's call is being recorded. I would now like to turn the call over to Richard Romero from First Solar Investor Relations. Richard, you may begin.
Richard Romero: Good afternoon, and thank you for joining us. Today, the Company issued a press release announcing its second quarter 2023 financial results. A copy of the press release and associated presentation are available on First Solar's website at investor.firstsolar.com. With me today are Mark Widmar, Chief Executive Officer, and Alex Bradley, Chief Financial Officer. Mark will provide a business update. Alex will discuss our financial results and provide updated guidance. Following their remarks, we will open the call for questions. Please note, this call will include forward-looking statements that involve risks, and uncertainties that could cause actual results to differ materially from management's current expectations. We encourage you to review the safe harbor statement contained in today's press release and presentation for a more complete description. It is now my pleasure to introduce Mark Widmar, Chief Executive Officer.
Mark Widmar: Thank you, Richard. Good afternoon, and thank you for joining us today. On our recent analyst day in September, we outlined our goal to exit this decade in a stronger position than we ever did. We believe the future belongs to thin film, and we described our long-term intent to be positioned to serve all addressable markets and commercialize the next generation of PV technology, balancing and optimizing across efficiency, energy and cost in an environmentally and socially responsible way. This long-term aspiration aligns with our nearer-term growth, which is underpinned by our points of differentiation and solid market fundamentals, including continued strong demand for our products, proven manufacturing excellence, a uniquely advantaged technology platform, and crucially, a balanced business model focused on delivering value to our customers and our shareholders. This is our last earnest call. We have continued to make steady progress on this journey, and I will share some key highlights related to continued strong demand and ASPs, manufacturing operational excellence, and expansion.  Beginning on slide three, we will continue to build on our backlog with 6.8 gigawatts of net bookings since our last earnest call at an ASP of 30 cents per watt, excluding India. This base ASP excludes adjusters applicable to approximately 70 percent of these bookings, which when applied with our -- aligned with our technology roadmap, may provide potential upside to the base ASP. These bookings bring our year-to-date net bookings to 27.8 gigawatts and our total backlog to 81.8 gigawatts. Our total pipeline of future bookings opportunity stands at 65.9 gigawatts, including 32.5 gigawatts of mid- to late-stage opportunities. As it relates to manufacturing, we produce 2.5 gigawatts of Series 6 modules in the third quarter with an average watt per module of 469, a top end class of 475, and a manufacturing yield of 98 percent. Our third Ohio factory, which establishes the template for high-going Series 7 manufacturing, continues to ramp, demonstrating the manufacturing production capability of up to 15,000 modules per day, which is approximately 97 percent of nameplate throughput. The factory produced a total of 565 megawatts in Q3. Total year-to-date production of Series 7 modules in the U.S. has surpassed one gigawatt. As noted on our analyst day, the factory recently demonstrated a top module wattage produced of 550 watts as part of a limited production run. While still undergoing commercial qualification testing, this implies a record cattail production module efficiency of 19.7 percent. Our India plant started production in Q3 and is continuing to ramp, recently demonstrating a manufacturing production capability of approximately 12,000 modules per day, which is approximately 77 percent of nameplate throughput. The factory produced a total of 154 megawatts in Q3 and recently demonstrated a-top module wattage produced of 535 watts. In terms of technology, our Series 6 plus bifacial modules completed rigorous field and laboratory testing. We recently converted our first Series 6 plus plants in Perrysburg, Ohio, to commercially produce the world's first bifacial solar panel, utilizing an advanced thin film semiconductor. The technology features an innovative, transparent back contact pioneered by First Solar's research and development team, which in addition to enabling bifacial energy gain, allows infrared wavelengths of light to pass through rather than be absorbed as heat, and is expected to lower the operational temperature of the bifacial module and result in higher specific energy yield. Upon successful demonstration of operational metrics in high-value manufacturing, such as yield and throughput, we plan to convert more plants in the future, which will enable us to capture incremental ASV through our existing contractual adjusters. Turning to slide four, our focus on delivering value extends to our manufacturing expansion strategy, and we are making tangible progress towards achieving our forecasted 25 gigawatts of global nameplate capacity by 2026. Construction of our India facility is completed, and production has commenced. Commercial shipments are expected to begin once the factory receives the Bureau of India Standards certification, from the Indian government, which is expected by year-end. In September, we mobilized on our new Louisiana manufacturing facility, our fifth fully vertically integrated factory in the United States. At a ceremony attended by the governor of Louisiana, we set in motion the work expected to deliver 3.5 gigawatts of annual nameplate capacity, which is anticipated to commence operation at the end of 2025. When completed, we expect 1.1 billion facility is projected to take us to approximately 14 gigawatts of annual nameplate capacity in the United States, further enhancing our ability to serve the market with domestically made models. Meanwhile, we continue to make steady progress on the construction of our new Alabama facility, which is expected to commence operation in the second half of 2024, and our Ohio manufacturing expansion, which is projected to commence operation in the first half of 2024. Additionally, our new R&D Innovation Center and our first perovskite development line, announced at Analyst Day, are also on track, representing an expected combined investment of $450 million. The perovskite development line and R&D Center are expected to commence operation in the first half of 2024 and reflect our determination to lead the industry in developing the next generation of PV technologies, optimizing across efficiency, energy, and cost. Crucially, as our manufacturing footprint continues to grow, so does our supply chain. In the U.S., we recently expanded our agreement with Vitro Architectural Glass, which is investing in upgrading existing facilities in the United States to produce glass for our solar panels. The expanded capacity commitment from Vitro to FirstSolar is expected to commence production in the first quarter of 2026. Today, FirstSolar is one of the largest consumers of float glass in the United States. As PV manufacturing continues to scale in the U.S. and a premium is placed on domestically produced components, including glass, our early work to build a resilient domestic supply chain, which began in 2019, gives us a significant head start over the competition. Similarly, we expect Omco Solar to manufacture and supply Series 7 module back rails through a new facility in Alabama. This reflects our efforts to de-risk our supply chain with strategic localization. Omco only uses American-made steel, which aligns with our intent to maximize the domestic economic value created by our U.S. manufacturing footprint. Similarly, our high facility also served by a steel value chain that is located within a 100-mile radius of our factories. Before handing the call over to Alex, I would like to discuss our policy environment. In the United States, with regards to the Inflation Reduction Act, we continue to await guidance from the Department of Treasury on the Section 45X manufacturing tax credits. We also remain engaged with the administration and continue to work with our customers to ensure that the IRA's domestic content bonus guideline supports the Act's intent to sustainably grow U.S. solar manufacturing and its supply chains. As we have previously noted, we share our commitment to the current guidance with the administration and are working with our customers to enable their ability to benefit from the bonus credit for using U.S.-made content. We are appreciative of the work done by the Biden administration to provide a solid legislative foundation for domestic solar manufacturing. The IRA has supplied a catalyst for growth, and our goal is to leverage it to help create a position of strength for the country both now and after the term of the incentives. Beyond the IRA, we are also aware of new anti-dumping and counter-dating duty petitions filed against importers of aluminum extrusions from 15 countries. Consistent with our views on fair trade and the importance of conforming with rules governing trade issues, we will comply with any request for information from the United States Department of Commerce and the International Trade Commission while we work to understand the potential implications. Moving abroad, we remain engaged with policymakers across Europe as the bloc attempts to tackle serious challenges to its solar manufacturing ambitions. For example, Chinese modular inventory in Europe, stored in warehouses across the region and estimated by analysts to reach 100 gigawatts by the end of the year, is reportedly being sold at prices below its cost to manufacture. This alleged dumping behavior, driven by overcapacity in a Chinese silicon industry that has decimated international competition for the past decade, represents a serious threat to non-Chinese manufacturing and to ambitions of diversifying solar supply chains away from the dependency on China. It also represents a policy threat, potentially undermining the political willingness to deliver the comprehensive trade and industrial legislative solutions necessary to both level the playing field and incentivize domestic manufacturing. We continue to advocate for comprehensive legislation to safeguard any domestic manufacturing ambitions. Our view is that industrialistic manufacturing ambitions, our view is that industrial policy-related CapEx benefits alone are insufficient, and that absent sufficient trade policy support to ensure a level playing field, Europe will find it challenging to achieve what the U.S. and India have been able to do in a relatively short period of time. I'll now turn the call over to Alex, who will discuss our bookings, pipeline, and third-party results.
Alexander Bradley: Thanks, Mark. Beginning on slide five, as of December 31, 2022, our contracted backfill totaled 61.4 gigawatts, with an aggregate value of $17.7 billion. To September 30, 2023, we entered into an additional 23.6 gigawatts of contracts, and recognized 7.4 gigawatts of volume sold, resulting in a total contracted backlog of 77.6 gigawatts, with an aggregate value of $23 billion, which equates to approximately 29.6 cents per watt. Since the end of the third quarter to date, we've entered into an additional 4.3 gigawatts of contracts, contributing to our record total backlog of 81.8 gigawatts. Including our backlog since the previous earnings call, our contracts are approximately one gigawatt or more, with returning customer Long Road Energy, and new customers, including a new IPP, and an asset manager with multiple companies in its portfolio. Additionally, we have received full security against 141 megawatts of previously signed contracts in India, which now move to these volumes from the contracted subject conditions precedent grouping within our future opportunities pipeline to our bookings backlog. As noted on this day, while the ASPs associated with these India bookings are lower than those associated with the 6.6 gigawatts of US bookings since the prior earnings call, gross margin profile, excluding the 45x benefit, is comparable to the fleet average, given the lower production costs in our Chennai facility. Since the announcement of the IRA, we've amended certain existing contracts to provide US manufactured products, as well as to supply domestically produced Series 7 modules in place of Series 6. Consequently, over the past five quarters, to the end of Q3 2023, across approximately 11 gigawatts, we've increased our contracted revenue by approximately $354 million, an increase of $42 million from the prior earnings call. As we previously addressed, a substantial portion of our overall backlog includes the opportunity to increase base ASP through the application of adjusters, if we're able to realize achievements within our technology roadmap, as of the required time of delivery of the product. As of the end of the third quarter, we had approximately 40.3 gigawatts of contracted volume with these adjusters, which if fully realized, could result in additional revenue up to approximately $0.4 billion, or approximately $0.01 per watt, the majority of which we recognize between 2025 and 2027. As previously discussed, this amount does not include potential adjustments, which are generally applicable to the total contracted backlog. Both the ultimate-bin produced and delivered to the customer, which may adjust the ASP under the sales contract upwards or downwards, and for increased sales rate or applicable aluminum or steel commodity price changes. Our contracted backlog extends into 2030, and excluding India, we are sold out through 2026. Note, a total of approximately 1.5 gigawatts of production from our India facility is expected to be used to support US deliveries in 2024 and 2025. As reflected on slide six, our pipeline potential bookings remains robust. Total bookings opportunities are 65.9 gigawatts, a decrease of approximately 12.4 gigawatts as of the previous quarter. Our mid- to late-stage opportunities decreased by approximately 16 gigawatts to 32.5 gigawatts, and includes 27.1 gigawatts in North America, 3.8 gigawatts in India, 1.3 gigawatts in the EU, and 0.3 gigawatts across all other geographies. Decreases in our total mid- to late-stage pipeline in Q2 to Q3 result both are converting certain opportunities to bookings, as well as a remover of certain other opportunities given our sold-out position and diminished available supply. As we previously stated, given this diminished available supply, the long-dated timeframe into which we are now selling, and aligning customer project visibility with our balanced approach to ASPs, field security, and other key contraction terms, we would expect to see a reduction in volume in upcoming quarters. We will continue to forward contract with customers who prioritize long-term relationships and value our differentiation, and given the strength and duration of our contracted backlog, we will be strategic and selective in our approach to future contracts. Included within our mid- to late-stage pipeline are 5.1 gigawatts of opportunities that are contracted subject to conditions present, which includes 1.7 gigawatts in India. Given the shorter timeframe between contracting and product delivery in India relative to other markets, we would not expect to see a multi-year contract commitment to occur in the US. As a reminder, signed contracts in India will not be recognized as bookings until we have received full security against the Arctic. Next slide, 7, I'll cover our financial results for the third quarter. Net sales in the third quarter were $801 million, a decrease of $10 million compared to the second quarter. Decrease in net sales was primarily driven by lower non-module revenue associated with project earn-outs from our former systems business, as well as within the module segment, a slight reduction in volume sold, partially offset by an increase in ASPs as we continue to see favorable pricing trends. Gross margin was 47% in the third quarter, compared to 38% in the second quarter. This increase was primarily driven by higher module ASPs, lower sales rate costs, and higher volumes of modules produced and sold in the US, resulting in additional credits from the inflation reduction end. Previously mentioned, based on our differentiated vertically integrated manufacturing model, the current form factor of our modules, we expect to qualify for an IRA credit of approximately $0.17 per watt for each module produced in the US and sold to a third party, which is recognized as a reduction to cost of sales in the period of sale. During the third quarter, we recognized $205 million of such credits, compared to $155 million in the second quarter. We encourage you to review the safe harvest statements contained in today's press release and presentation, the risks related to our receiving the full amount of the benefits we believe we are entitled to under the IRA. The reduction in our sales rate costs during the quarter reflected improved ocean and land rates, along with a beneficial domestic versus international mix of volume sold. Lower sales rate costs reduced gross margin by 7 percentage points during the third quarter, and by 8 percentage points in the second quarter. Ramp costs reduced gross margin by 3 percentage points during the third quarter, and by 4 percentage points during the second quarter. Our year-to-date ramp costs are primarily attributed to our Series 7 factory in Ohio, which is expected to reach its initial target operating capacity later this year, and our new Series 7 factory in India, which commenced production during the quarter. S&A and R&D expenses total $91 million in the third quarter, an increase of $8 million compared to the second quarter. This increase is primarily driven by expected credit losses associated with our higher accounts receivable balance, additional investments in our R&D capabilities, costs related to the implementation and support of our new global electrified resource plan. Production start-up expense, which is included in the operating expenses, was $12 million in the third quarter, a decrease of approximately $11 million compared to the second quarter. This decrease was attributable to the start-up production in our factory in India, partially offset by certain start-up activities for our new Series 7 factory in Alabama. Our third quarter operating results did not include any significant non-module activities. However, the year-to-date operating loss impact for the legacy systems business related activities remains at approximately $22 million. Our third quarter operating income was $273 million, which included depreciation, amortization, and accretion of $78 million, ramp costs of $25 million, production start-up expense of $12 million, and share-based compensation expense of $8 million. We recorded tax expense of $22 million in the third quarter, and tax expense of $18 million in the second quarter, primarily driven by higher pre-tax income. A combination of the aforementioned items led to a third quarter diluted earnings per share of $2.50 compared to $1.59 in the second quarter. Next on the slide, eight, discuss the expensive items and summary cash flow commission. Our cash, cash equivalents, restricted cash, restricted cash equivalents, and marketable securities ended the quarter at $1.8 billion, compared to $1.9 billion at the end of the prior quarter. This decrease was primarily driven by capital expenditures associated with our new facilities in Ohio, Alabama, and India, along with our higher accounts receivable balance, partially offset by advanced payments received from future module sales. Total debt at the end of the third quarter was $499 million, an increase of $62 million in the second quarter, and the result of the final loan, drawdown, and credit facility for our factory in India. Our net cash position decreased by approximately $0.2 billion to $1.3 billion as a result of the aforementioned factors. Cash flows for operations were $165 million in the third quarter. Global liquidity and the strength of our balance sheet remains one of our key differentiating factors. However, as discussed on our analyst day, the majority of our cash sits offshore, while the majority of our forecasted future CapEx spend between 2034 and 2026 is in the United States. As we invest significantly in the U.S. manufacturing ahead of any IRA cash proceeds, we continue to evaluate options to optimally balance this expected temporary jurisdictional cash imbalance, which includes cash repatriation, use of our existing undrawn revolving credit facility, or other sources of capital. Whilst we expect our $1 billion of revolving capacity to provide sufficient liquidity, we continue to evaluate other options to optimize cost of capital for any French financing. On slide nine, our guidance updates, our volume sold and net sales guidance remains unchanged. Within gross margin, we are reducing the high end of our forecasted ramp under the utilization expenses by $10 million, between $110 and $120 million and narrowing the range of our section 45X tax credit guidance by $10 million, both the low and high end, between $670 and $700 million. Given their size, these combined changes do not impact our guided gross margin range of $1.2 to $1.3 billion. We've reduced our production start-up expenses guidance to $75 to $85 million, which implies operating expenses guidance of $440 to $470 million. Combining these changes provides some resiliency to the low end of both the operating income guidance range, which is updated to $770 to $870 million, and the earnings per share guidance range, which is updated to $7.20 to $8. Net cash and capital expenses guidance remains unchanged. Turn to slide 10, I'll summarize the key messages from today's call. Demand continues to be robust, with 27.8 gigawatts of net bookings year-to-date, including 6.8 gigawatts of net bookings since our last earnings call, and an average ASP 30 cents for one, including India. And before the application adjusters were applicable, leading to a record contracted backlog of 81.8 gigawatts. Our continued focus on manufacturing technology excellence resulted in a record quarterly production of 3.2 gigawatts. Our India manufacturing facility commenced production, and our Alabama, Louisiana, and Ohio manufacturing expansions remain on schedule. Financially, we're on $2.50 per diluted share, and we ended the quarter with a gross balance of $1.8 billion, or $1.3 billion net of debt. We maintain fully-expensed 2023 revenue guidance, and raise the midpoint of our EPS guidance from $7.50 to $7.60. With that, we conclude our prepared remarks and open the call for questions. Operator?
Operator: [Operator Instructions] Your first question comes from the line of Philip Shen from Roth MKM. Please go ahead. Philip, your line is open.
Philip Shen: Hey, guys. Thanks for taking the questions, and congrats on the strong bookings at what appears to be strong pricing. Congrats on the strong bookings, that what appears to be strong pricing. Mark, can you talk through the pricing at $0.30 a watt that's without India? And I think the prior quarter, there were some nuance around a contract with without freight. And so if you adjusted that where you typically include freight, was your prior pricing kind of closer to $0.31. So you guys are sitting close to $0.30 this quarter to maybe a bit of a drop, but really compared to the crystalline silicon price collapse. It looks like you're holding price pretty well. And then looking ahead, I think you guys said you may be selective and strategic with bookings. So should we expect things to slow down from here and maybe fewer bookings in general coming up in this full quarter here in Q4 and maybe in Q1 as well, especially since U.S. LPA module you have compliance module pricing has come down so much there? So just curious what you expect ahead there as well.
Mark Widmar: Yes. So from a branding standpoint, Bill, if you look at the bookings for this quarter, all the way out into 2029, so it's totally weighted in actually 2029. And so we're looking much further out in the horizon, which also kind of creates the dynamic of what is our base price and then what is the impact of the adders, which -- as we indicated, the $0.30, excluding India does not include the adders and 70% of the volume includes adders, and there a horizon that especially for the benefit of temperature-coefficient long-term degradation rate that we'll be in a much better position to capture those upsides. And as we indicated in the call, we're starting our initial buy-in production already in Ohio. And so when you look at the impact to the average ASP, and if you were to include the benefit of the adders to and marry that up and align it to our technology road map, as I indicated in my prepared remarks, you'd add about $0.02 or so to ASPs. So when you look -- when you make that adjustment, you compared to last quarter, you look at the period at which we're booking out into, but I would say the pricing is pretty stable quarter-to-quarter. And you're right. Last quarter, we had a relatively large deal that did not include sales rate. So there was a little bit of an impact to the average ASP because of that. But I would say, largely, it's pretty stable. We're very pleased with our ability to go further out into the horizon and still get very attractive pricing in the backdrop of a lot of changes in the very dynamic environment over the last 60, 90 days. As it relates to the comment about being discipline, we are going to continue to be disciplined. We are still supply constrained and we have a road map that will get us to 25 gigawatts. We're starting to see 27 fill up very nicely and starting to put more points on the board that go out 28, 29 and we touch 30 in some of the prior deals that we've done. If we come to the terms with customers on what makes sense for us, not just on ASP, but security, overall in terms of conditions, provisions to the extent they're applicable to domestic content, all that has to balance itself out into a deal that makes sense for us. And so look, that's how we're going to continue to engage them on market, and there's -- we'll see how the market reacts and especially the further events of the horizon, there will probably be some pause to some of our customers not willing to commit yet to that horizon, but we'll see how it plays out. But there's -- where they are now and maybe potentially decline slightly as we go across the next several quarters.
Operator: Your next question comes from the line of Julien Dumoulin-Smith from Bank of America. Please go ahead.
Alexander Vrabel: Hey, guys. It's Alex on for Julian. Just a follow-up if I can to that, Mark. When you think about where you guys are booking, and I'll say this like you guys used to be in the development game as well. So I think you obviously understand the lead times on these projects. I mean, how much is that mid- to late-stage compression, a function of just listen, there's a lot of uncertainty as far as timing of interconnects, permitting, et cetera? And looking out in 2028, it's sort of hard to say which projects will be first versus second versus third. Or is this more that the market is kind of getting back to some level of normalcy as far as supply and demand in modules and buyers are just electing to it? I guess sort of parse that for us relative to it just being really long dated as opposed to a sort of a shift in buyer sentiment or market conditions, if you will?
Mark Widmar: I don't see it as a huge shift in our customers' sentiment as they think about their realization against their development pipeline. Look, there are challenges as you indicated, permitting interconnection and what have you. But I think they all still are very bullish about ability to realize their contracted pipeline and secure off-take agreements. The issue, I think, is around when do you actually if we're contracting for module deliveries in 2029, and we're asking for security. Clearly, project is not in a condition at that point in time where they would be able to get financing put in place. So when you're talking about corporate liquidity capacity that's going to have to be used in order to provide the security, whether it's a parent guarantee and LC or actual cash. As you know, the project has to be much further along as it relates to financing debt and structure of tax equity before that liquidity is brought into the mix at the project level. So I think part of it is wanting to have the certainty of the delivery, but balancing that with capacity to -- from a security standpoint that we're requiring on our contracts, and it's just a matter of finding a good balance that can work. Parent guarantees for certain entities can work, but we want to make sure they're creditworthy parent guarantees and guarantees that those guarantees are issued against and that's sometimes for some of our customers becomes a little bit more challenging. So you kind of got this balance of wanting certainty, wanting to engage, clearly want to partner with First Solar, and they also know that and we're a loyal supplier to, especially our partners that have been with us for an extended period of time. But then also balancing their near-term liquidity constraints to the extent that they have then when do they want to undertone contract. So I don't see it so much of the sentiment to realization against the development pipeline. I just think it's you're going out to the horizon right now that people are maybe not as ready yet to commit capital and commit to the liquidity that we need to get comfortable with around security for module agreement.
Alexander Bradley: Two things I might note. One is, at the Analyst Day, we talked around the fact that we actually over-allocate in the near term. And we do that deliberately because we tend to see projects move out to the right that gives us some comfort. The other reason we do that is a lot of our recent bookings have been framework agreements with customers, whereby they don't necessarily have a specific project allocating the modules they're buying from us. They just know they're going to need that total volume over a period of time. And those frameworks can be more challenging to plan for because there is often some flexibility in timing there. but also shows that customers and very long-dated bookings are willing to buy without necessarily loan exactly where the products go in because they value that certainty, and they know that over time, they'll find a home for it. So we've been seeing a lot more of behavior, which runs a little counter to your question, but we're seeing people looking out at times and they don't necessarily know exactly where it's going, but they're still willing to make that commitment because of the value I'm doing so. But as Mark said, the further we get out, the fact that we're now looking out into 2028, '29, it becomes part of people put meaningful deposits down and there's just less visibility on the framework side. That's why we talked about potentially seeing bookings slower.
Operator: Your next question comes from the line of Brian Lee from Goldman Sachs. Please go ahead.
Unidentified Analyst: Hi, thanks for taking the question. This is Grace on for Brian. I guess -- my question on competition. So 1 of your crystalline computer recently announced a 5 gigawatts sale expansions. It's I think it's the first sign of whatever is the [ph]equation from China in the U.S, so the CapEx is lower, but can you speak to your understanding of the cost structure for overseas peer building in building?
Mark Widmar: Sure. So there's a lot out there, the announcement that was made recently this week. -- 1 of our competitors that will be putting sales in the U.S. And look, there are others that are doing sales in U.S. Myer Burger made a commitment to do sales in the U.S., handle a few cells doing sales in the U.S., they're not a long term and want. But one thing I want to make sure is clear when you said vertically integrated, it's not vertically integrated all the way through to the poly-silicon. So yes, it's a module assembly with cell manufacturing. The wafer still are not manufactured in the U.S., the ingots, obviously not in the U.S. ignores the uncertainty were exactly where the poly-silicon is coming from. It could be from the U.S. manufacturer or potentially, Europe or Korean, I guess. So it's not an apples-to-apples comparison. But what I'll say is that if you look at the announcements that they've made, there's about $800 million for the sale and a few hundred million, $200 million, $300 million for the module, which is pretty comparable to our fully vertically integrated. So they're about $1.1 billion. But the -- what I think is maybe the most telling number to look at from a competitive standpoint is the headcount. I think it's 4 or 5 gigawatts. It's 2,700 heads for just cell and module. We are on a road map that will be 14 gigawatts of fully vertically integrated. So think about that from the production of the poly-silicon all the way forward. And our entire head count for 14 gigawatts in the U.S. will be comparable to that 2,700. So on a head count basis, we're about -- they're about 2.5x higher on a headcount basis than we are. That adds about $0.02, $0.025 on a cost per lot base using kind of U.S. labor brings. So I think that's 1 thing for sure that will create a much higher cost profile for that manufacturer. The other is they don't have a local supply chain. As we indicated in our call, we have localized our supply chain. We have been in front of that game. So our blast is here in the U.S. As we indicated, our back rails on Series 7 are here in the U.S. The current components or so that are identified through the domestic content from the underneath the IRA, all of our components of our Series 7 product will be mainly the U.S. That factory will most likely have on at least one major component. Glass is not going to be available in the U.S. There are no glass manufacturers today. In the U.S., it could happen, but it will be much more expensive than it would be to source from Southeast Asia or China. But then they have to pay the freight, and it's expensive to ship glass,, which is heavy from Southeast Asia or China into the U.S. We're also going to have intention to deal with duties, no different than the comment that we made on our prepared remarks, there are duties now that are being considered for extruded aluminum. And there's a potential that it could be applicable to the frame. Our Series 7 product, as an example, does not use aluminium. It's steel and it's domestically sourced. So it doesn't have that type of exposure. So I am very confident, and this is one of the things that we said before is that is that all we want is a level playing field that we all compete on the same basis and under the same policy environment. As long as we have that, I have no doubt that we are materially cost advantage to any other U.S. manufacturer for the various reasons that I've mentioned. We feel like we're in a position to strike. We believe that we have a key point of depreciation around our manufacturing excellence, and we're more happy to compete with anyone who would choose to manufacture in the U.S., and we welcome it. We believe the IRA in order to be successful is to create a diversified supply chain with many different types of technology, prism silicon films, whether it's cattail or eventually parasites or others. We need that if we want to ensure long-term energy independent and security for the U.S. to become a technology leader. We need more manufacturing we need more innovation and different types of technologies to continue to move this forward.
Operator: Your next question comes from the line of Joseph Osha from Guggenheim Partners. Please go ahead.
Joseph Osha: Thank you and hello, everyone. Happy Halloween. Following on the previous question, assuming that most of what we see in the U.S. is going to be modules sourced with domestic cell, but almost certainly overseas wafer and poly. Based on what you see right now, can you see those suppliers managing to meet domestic content requirements under the IRA? And if so, just why we're not, I'm curious as to what your thinking is on that?
Mark Widmar: So as we currently understand the supply chain and the availability of the domestically-sourced components that were identified under the IRA domestic content guidance that was provided. The only and really identifiable component that we believe -- I mean there could be some small stuff like adhesive and stuff like that, but that's not going to move the needle. But most likely, will really tell us a component that will move the needle, and that will drive some meaningful amount of domestic content will be the cell. If you look at this most recent announcement, I think that you said they'll be up and running by the end of '25, which means largely that those cells would be available for production and shipments and then eventually installation to or assembled in the models and then eventually installation on your project in '26. And I believe the requirements under IRA and '26 is close to -- I think -- so they have to -- so you're starting off at 40% domestic content and it steps its way up all the way to 55%. So they've got a window now that by the time they can actually realize the benefit of domestic content that requirements will be at a higher threshold than it is right now. At least the math that we run just looking at the cell and understanding the direct material, direct labor cost crystalline silicone at it will be very difficult for the cell-only domestically sourced module to meet the project level requirements to achieve the domestic content bonus. Series 7, as I indicated, which is the vast majority of our 14 gigawatts of the magnetic production is 100% domestically sourced. Therefore, it qualifies as a domestic product. it will be materially advantaged in enabling of domestic content bonus at the project level versus just a crystalline silicon module with a in domestically sourced sell.
Operator: Your next question comes from the line of Vikram Bagri from Citi. Please go ahead. Vikram, your line is live.
Vikram Bagri: Sorry about that. Good evening, everyone. I wanted to ask about capital allocation. At the Analyst Day, we understood that there is some downside to tech CapEx by implementing some processes at the supplier level. Any updates to share there? Also, Alex, you mentioned that repatriating cash, it sounds like, is not the most efficient path to fund CapEx in the U.S. So what the cost of repatriation is. And staying on the same topic, understand that funding buybacks with cash is not on the table yet. I was wondering if repatriating the cash longer term can fund for the buybacks longer term? And then finally, I was wondering if common equity is still off the table completely.
Mark Widmar: I'll take the first one and then Alex take all the rest of them. So yes, we are still working through with our supplier to enable various coding and capabilities that would resulted in us not having to make substantial capital investments related to our upgrades for our pure technology. Testing is ongoing. What I'll say is the early indications. A long way still ago. I want to make sure it's very clear. It's a long way still to go. -- but early indications on what we've seen so far is very promising that we will be able to find a way to provide -- or to have a supplier provide the coatings to the glass without us having to do on our own. Now look, there's some trade-offs with that such as the CapEx balance is also the opportunity to further optimize the buffer layer, which is what they're putting on to capture better performance at the semiconductor level. So we'll have to continue to assess respective trade-offs. But I would say, at least as of right now, really early innings. I want to continue to stress that there's a pretty positive indication of their capabilities in that regard.
Alexander Bradley: If you think about CapEx, we -- at the Analyst Day, we showed you a CapEx plan for '24, '25 and '26 in sales that was somewhere in the range of $3.5 billion to $4 billion of spend. As Mark just said, there's early indications that there's an opportunity potentially for some of the technology-related CapEx come down a little bit. However, you think about the near term, the majority of the spend for 2024 is not related to that capacity expansion, R&D facility enters maintenance and sustaining CapEx, so the guide that we've talked about in the Analyst Day of 1.6%, 1.9% for next year. It doesn't have a lot related to that technology a little bit. As you get into the out years, there's more technology related. So if there is an opportunity to bring that down, it's going to be more in back end of '25 and '26. So as we look through next year's capital standard program, still a significant CapEx program that we're looking at. And I think to have fun there, if you go back to the tax reform in 2017, what that effectively did was you paid a one-time transition tax, which is the equivalent of paying federal taxes to all repatriating the money. So the federal expense is basically done. However, there would be state local tax implications of bringing money back. So today, we're certain that we permanently reinvest our capital offshore. If we were to change that assertion and bring capital back, there wouldn't necessarily be a tax impact to the capital pullback as you would see and impact that depends on the P&L at the time to change that search. So I haven't given the number of what that would be, but there would be some potentially significant stable level tax indications of doing that at the time. In terms of thinking about the way the funding -- look, what we said right now is what we need is transition capital, temporary capital. I don't see any request. So what we're looking at is things that will help us bridge through the gap between the significant investments we're making now upfront and the timing of receipt of the cash associated with the action for credit. As I said at the Analyst Day, if we had that cash on hand at the same time that we recognize the tax benefit on the P&L, then we wouldn't have this potential challenge in jurisdictional mix and temporary transition timing. But the need for equity I don't see today. Then to your question around buybacks, look, we haven't looked at that. I think we're a long way from being in a position where we need to think about that. We're going into a pretty significant CapEx spend over the next few years. their capital not coming in yet. So we'll think about that when the time comes, but that's not where now we're going to invest inside.
Operator: Your next question comes from the line of Colin Rusch from Oppenheimer & Company. Please go ahead
Colin Rusch: Thanks so much, guys. Can you talk about how much finished goods inventory you exited the quarter with and where you're at right now in terms of the nameplate run rate in India?
Mark Widmar: So let me sure, Colin. So you want to know the enterprise-wise finished good inventory amount? Is that question not just India, right?
Colin Rusch: Yes. That's the for the whole company and then understand where you're at in terms of the production run rate in India right now?
Mark Widmar: Yes. So for the total for the company, we ended up with north of 3 gigawatts in inventory. But right now, as we indicated, we produced about 150 megawatts or so in India. All that is actually an inventory, we don't have the certifications yet to allow us to start shipping. So there was a little spike in inventory part because of that. But it lines up to our -- if you look at our sold volume in the fourth quarter, I think an order to gigawatts or something like that. So that inventory is lining up to our anticipated shipments here in the fourth quarter. But India, as I indicated from a demonstrated capability, they've demonstrated almost 80% of nameplate. We're actually running that right now about a little less than 70% of the nameplate. And look, that's a tremendous result when I look at it because we just started the integrated run with that factory in July, they were three months or so out, they we're making 10,000 modules a day. That was obviously a step function improvements, but it's great to see where demonstrate that ability to make a finished -- 10,000 finished modules on a given day, not just demonstrated capability that we can do that. And we did that from a standpoint of as I referred to, that start-up was largely a cold start. We didn't -- we weren't able to because of our permitting restrictions and things that need to happen. We couldn't really start running and seasoning any of the tools until we got to the point of actually starting the integrator fund and very quickly moved into our plant fall process. So really good results. Hopefully, that's a forward-looking indicator of success that we'll see as we move forward into our Alabama factory and our Louisiana factory. And again, our goal is always to start these factories up sooner and faster than we had the previous one. And I would say, at least indications from Ohio going to India. It was pretty successful so far long way still to go and a lot of work still in front of us, but pretty happy with how that factor is performing right now.
Operator: Your next question comes from the line of Ben Kallo from Baird. Please go ahead.
Ben Kallo: Hey, Mark and Alex. Just on that note. I guess the question is two-fold. What do we think about your customers like breaking contracts as that on happens because soon going to open up a factory in Indiana or something like that. And how do we know that's not risk? And number two, what you said there is the speed to time of your factories, I think, is getting better as they get more automated. And how does that factor into your -- whatever ROIC or however you look at?
Mark Widmar: Look, Ben, I think we'll -- one of the deals that we just did this quarter I think there may be a press release this week. We added another 500 megawatts on to a deal with partner we have for a while. I think it brings a total of north of 3 gigawatts that we've done with this particular partner. And there's just this relationship and understanding of value propositions that First Solar is able to bring and our ability to deliver certainty against commitments that people look to and want to de-risk their projects. I mean that's their primary focus. These projects are meaningful multiyear investments with a meaningful amount of capital and that are starting to evolve now with higher CapEx dollars for our integration of storage and eventually integration of -- for hydrogen, that at the front end of what you need in order to make that project successful if something has to take bolt-ons that make electrode. Otherwise, nothing happens. And what our partners want from us is certainty. They want us to give them a competitive technology at a great price. That de-risk their projects and allows them a higher level of confidence of delivering against their commitments to their Board and to their shareholders and others. First Solar is able to do that, and we're uniquely positioned. We're also uniquely positioned to provide, we believe, with Series 7, in particular, the highest domestic content qualifying module in the industry to take risk to try to find ways to look at alternative paths so have degrees of uncertainty associated with that. It's not even clear that, that factory that you're referencing will actually be up and running in the time line of which it's been committed. The other thing is a portion of that off-take is going to be for self-consumption for their development arm, no different than the factory in Ohio, which as an equity investor that is looking to take a meaningful amount of that volume for their own development pipeline. That creates a different perception to some of our partners around why do I want to buy a technology or modules from the competitor, right? Somebody that's going to be competing with me, which our primary business model is to be a developer, finer business model is to be the IPP, the utility to own the generating assets to get the return on investment against the project to feed my competitor. To better position them to take market share from me is not in a position of strength that a lot of our partners choose to be in. And there's still uncertainty. I mean there's a lot of things that are changing. As it relates to -- I mentioned already, the potential duties supposed on true aluminum coming in from China and Southeast Asia. That's another risk profile that somebody has to be willing to expect they could be glass specs. I mean, who knows what the next step in the journey is going to be. And all our partners know is that with First Solar. They completely de-risk those dimensions, and they've got a great partner who's going to deliver a great product, great technology at a great price on top. So that's a sense of where our customers, I think, view us. And our contracts, yes, we have penalties and there's ways to potentially pay those penalties and customers potentially could break a contract and we'll take those penalties, and we'll get to sell that technology done into the marketplace to somebody else. But, when they step back and reflected the significant amount of risk that they would be taking for small nominal impact that is uncertain whether it's even a meaningful impact. It could even be a worse opposition for them, especially if they're jeopardizing the domestic content on your ITC. Why would you want to do all that brain damage for potentially roll as any benefit or make yourself -- put some in a worse position? As it relates to the factories and the start-ups, I mean the ROIC -- every one of these factories that we start up sooner just accelerates the ROIC, especially for U.S. manufacturing. That means we get dollars faster -- and so anything we can do to get product into the market faster just enhances the return on invested capital. And as we see that ability -- then as we think about alternatives for another factory, yes, we'll factor that in and say that our ability from announcement to high-volume manufacturing if it's a shorter time line than it potentially creates a lens that says that the payback obviously, could be more attractive for factoring.
Alexander Bradley: Just about a couple of numbers around the 7 Asian fees. We tenor Analyst Day that about 14% of the megawatts in our backlog at that point was subject to a termination convenience closed. If you look at that, I mean 86% of our alt scenario development that put themselves in a very difficult position because they have ongoing to see an contractual breach, which will make it very hard for them to seek financing and tax equity for a project going forward. But for the vast majority of our backlog, there is no ability to terminate for convenience. For those contracts that we do have that clause, which typically is when we have larger long-dated contracts, and we have a small portion of that contracts where we have subject some of the megawatts to nation book convenience. We then have an agreed fee typically up to 20%, which we look to collect and the idea there being that we could then resell those modules and be at least may follow on that transaction. So just to give you some color on the numbers.
Operator: Our final question comes from Andrew Percoco from Morgan Stanley. Please go ahead.
Andrew Percoco: Thank you so much for taking my question. Mark, you sort of answered my question already, but I kind of just want to dive into the cost of capital environment. Obviously, having an impact on the market or the perceived economics of renewable. I'm just wondering if you're seeing any developers or customers that maybe haven't been big for solar customers historically that are maybe turning to your technology because maybe they see your technology and your supply chain as more bankable than someone else? [ph]UFLPA, ADCVD combined with a more expensive cost of capital environment. I'm just wondering if that's becoming a bigger competitive advantage than it maybe was a year or two ago? Thank you.
Mark Widmar: I think Alex actually referenced it in his section, but if you look at our bookings this last quarter, we highlighted three large contracts that were over a gigawatt at that total booking time. One of them is a return customer that we made an announcement on with Longwood Energy. I think we made that right around September, around the September time frame. But then we announced there was two other new customers. One is an IPP and another is effectively an asset management entity with a portfolio company and multiple developers both new customers. We're very happy with those in the first step of our journey of developing a deeper partnership with those counterparties. Look, they've come to First Solar for understanding of the unique value proposition and what we can provide. Unique value proposition and what we can provide. One of them, in particular, I know who's would have liked to have gotten on First Solar's books earlier. We just didn't have capacity. And so now when they look forward and they see there is some supplies you get out of '27, 28, '29. They want to secure some of that supply. They were lumped even on the books and '24, '25 and '26, in particular, we did it on supply. So yes, I do think that the environment that we're in right now and first solar capabilities to proposition, I think, are more compelling and is driving new customers into our portfolio and our overall contracted backlog, which is now north of 80 gigawatts. I mean just that can reflect on that number. I mean that's a huge multiyear contracted backlog and commitments with dozens of different partners that uniquely understand First Solar and understand the value proposition that we can trade that enable the success of our business model.
Operator: And this concludes today's conference call. Thank you for your participation, and you may now disconnect.